Operator: Welcome to MasTec's Third Quarter 2015 Earnings Conference Call initially broadcast on November 4, 2015. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President in Investor Relations. Please go ahead, sir.
J. Marc Lewis - Vice President-Investor Relations: Thank you, Eric, and good morning, everyone. Welcome to MasTec's third quarter 2015 earnings conference call. The following statement is made pursuant to the safe harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications we may make certain statements that are forward-looking such as statements regarding MasTec's future results, plans and anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of the initial broadcast of this conference call and the company does not undertake to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from the results expressed or implied in these communications. In today's remarks by management we will be discussing continuing operations and adjusted financial metrics as discussed and reconciled in yesterday's press release and supporting schedules. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings press release table, our 10-Q, our 10-K or in the Investors and News section of our website located at mastec.com. Also note that comparisons to 2014, comparable numbers are made to the restated quarterly numbers as filed in our 2014 10-K and our 2015 10-Qs. With us today we have José Mas, our CEO; and George Pita, our Executive Vice President and CFO. The format of the call will be opening remarks and analysis by José followed by a financial review from George. These discussions will be followed by a Q&A period and we expect the call to last about 60 minutes. We have a lot of important things to talk about today so I'd like to turn it over to José. José?
José Ramón Mas - President, Chief Executive Officer & Director: Thank you, Marc. Good morning, and welcome to MasTec's 2015 third quarter call. Today I will be reviewing our third quarter results as well as providing my outlook for the markets we serve. Before getting started I'd like to make some general comments around where the company stands today. We have obviously had a difficult 2015. I believe today we at MasTec are at an inflexion point. Starting in mid-2014 our business was dramatically impacted by two major factors – a slowdown in both our wireless and oil and gas markets. While those events impacted 2014 we still showed almost 7% growth in revenue in 2014 versus 2013. The lagging effect of those events, coupled with the problems that we've had in our Transmission business have had a much greater impact to our business in 2015 as we now expect revenues to be down this year around 10% versus last year. Revenues in our Transmission business are expected to be down nearly 25% year-over-year. That coupled with expected organic declines in our Wireless business of nearly 35% and an organic decline in our Oil and Gas business of approximately 20% has led to a very challenging year in how we manage our business. Part of the challenge is that we expect these issues to be short-lived. The reality is that aside from the short-term revenue challenges we have faced we work in very healthy industries and we expect a very significant ramp in opportunities with the corresponding revenue in the near future. There is no question that today in 2015 we are operating at less than optimal levels as it relates to utilization. We are investing in our people to meet the opportunities we have next year as our business significantly grows. In the meantime we have worked hard to manage our costs. Again, while we're not pleased with our results, despite a 35% organic decline in our Wireless business we have actually been able to increase our communication margins. While those margins have been helped by the strength of our Wireline business, we have taken significant cost out of our Wireless business and expect to have strong margin opportunities as the business returns to a more normalized level. The same can be said in our Oil and Gas business. We expect unprecedented levels of growth next year and we are properly stacked up from a management perspective. Despite these added costs and an approximately organic 20% revenue decline we have been able to maintain margins within 100 basis points over last year. Again, as the volume develops and we're able to take advantage of scale and higher utilization levels we expect margins to be significantly better than they've been this year. In summary, we're disappointed with our results. We recognize we have had multiple issues over the last few quarters. However, I am very confident that over the coming quarters you will begin to see the opportunities we have in front of us develop and we are confident in our ability to execute at a high level as we have demonstrated over a long period of time. Now, some third quarter highlights. Revenue for the quarter was $1.1 billion. Adjusted EBITDA was $91 million, and cash flow from operations for the nine months ended September was $261 million. Our results this quarter were negatively impacted by a softness in revenue in both our Oil and Gas and Wireless businesses and the continued underperformance in our Transmission business. As we look beyond 2015 our outlook is very strong. We expect considerable revenue growth and associated margins, primarily, driven by a very active oil and gas market, where we expect record revenues supported by our growing backlog and the number of projects we continue to win, a growing and robust fiber-to-the-home market, driven by gigabit deployment, and an improving wireless market with multiple carriers spending increasing levels of CapEx. Now I'd like to cover some industry specifics. Our Communications revenue for the quarter was $513 million versus $505 million last year. The slight increase in revenue was driven by a strong increase in our Wireline business. EBITDA margins in this segment were 9.9% versus 10.4% last year. Again, despite a nearly 35% organic decline in our Wireless business, margins were only off 50 basis points. In our install-to-the-home market, revenues were up 21% sequentially. The merger between AT&T and DirecTV is now complete and we managed through that integration very well. We're excited about our future growth opportunities. Wireline revenues for the quarter were up nearly 25% year-over-year and we continue to see strong demand in everything from electric distribution to fiber rollout and expansion. We expect gigabit revenues will continue to ramp and expect considerable growth as we begin to ramp construction activity based on our current backlog. Our Wireless business, as expected, was down year-over-year. Despite the significant revenue decline, we've been able to approximate last year's margin levels. We believe that as revenue normalizes and our expected growth materializes we will be able to leverage and grow margins. One of our strengths and differentiators in this business is our vast geographic coverage. As carriers increase CapEx we are extremely well positioned to benefit from that growth. Data usage and demand is expected to continue to grow at exponential level, requiring our customers to increase their network's capacity. We are also encouraged by the FCC's move to the Connect America Fund which has stimulated new spending by carriers to bring wireless broadband to rural America. This initiative will trigger technology adds on existing towers, cell tower reinforcement and incremental fiber builds to areas needing the coverage. During the quarter we also expanded our wireless footprint in Mexico. Today we are working in Mexico for three of the major OEMs and direct for two of the major carriers. These are very positive long-term trends that will help our business. Revenue in our electrical transmission business was $76 million versus $138 million in last year's third quarter. We continue to underperform in this business relative to our expectations. Our primary focus today is on getting this business back to a profitable level. We have taken significant steps at right-sizing this business and now expect fourth quarter EBITDA to approximate break even. We were successful on a number of projects during the quarter as was evidenced by our backlog growth. More importantly, we have a number of larger jobs that will be awarded during the fourth quarter and we feel good about our prospects. As we look into 2016 we expect a dramatic earnings improvement. Moving to our power generation and industrial segment, revenue was $115 million for the third quarter versus $114 million in the prior year. The bidding environment for 2016 is strong. We expect continued improved performance from this segment and believe revenue growth can exceed 10% in 2016. Our Oil and Gas pipeline segment had revenues of $407 million for the third quarter compared to revenues of $554 million in last year's third quarter. EBITDA margin from this segment was 12.5%, up from 10.1% sequentially. Our focus in this group has been preparing for what we expect to be a significant increase in the workload over the course of the next few years. While backlog was up this quarter, we continue to bid and win significant projects for both 2016 and 2017. Not included in backlog are over $1.5 billion worth of projects that we have won, which we expect to include in backlog at yearend. Those awards are for work in the U.S. with the majority to be completed in 2016. In addition, we continue to bid on projects and we're seeing significant opportunities for 2017 and 2018. We are at the beginning of what we think will be a very robust multi-year cycle. Our expansion efforts in Mexico are ongoing and we believe we are getting closer to executing projects in country. To recap, 2015 has been and is a challenging year for us. We understand we've had significant issues over several quarters. However, I want to reiterate the confidence we have in our business. In 2016 we expect several catalysts for improvement. First, we expect solid revenue growth in our wireless, wireline and oil and gas markets. Second, we expect the margins associated with those businesses to improve as we leverage our scale and reach higher utilization levels that have a direct benefit to margins. And third, we expect our transmission business to return to profitability. Again, we're disappointed with our performance in 2015. We need to get through 2015 and we look forward to executing on the opportunities we have ahead of us as we get back to performing at a high level. I'd now like to turn the call over to our CFO, George Pita, for our financial review. George?
George L. Pita - Chief Financial Officer & Executive Vice President: Thank you, José, and good morning, everyone. Today I'll cover third quarter financial results, fourth quarter and full year 2015 guidance, along with our cash flow, liquidity and capital structure. As in our previous calls, when we discuss our financial results and guidance we will be discussing non-GAAP continuing operations adjusted earnings and adjusted EBITDA. Full reconciliations from GAAP results to adjusted results are included in our Form 10-Q and press release tables. Consistent with prior quarters, continuing operations adjusted results exclude acquisition integration costs related to the WesTower acquisition. We incurred approximately $1 million of acquisition integration costs during the third quarter and the process is now complete. We are also excluding audit committee investigation-related costs which totaled approximately $4 million during the third quarter for a cumulative total of approximately $15 million on a year-to-date basis. The audit committee made substantial progress in this effort during the quarter. It is currently anticipated that we will incur approximately $1 million in investigation-related costs during the fourth quarter in connection with the anticipated conclusion of the audit committee investigation. During the quarter, we recorded a $3 million project loss related to our non-controlled minority interest in a Canadian joint venture which is constructing a bridge in Western Canada. That joint venture, which is managed by a third party and automatically terminates after completion of the project, has experienced delays in delivery of a key material from a manufacturer which has further delayed the construction schedule of the bridge and caused additional project costs. We have no substantive direct involvement in the project, which we acquired as part of the Pacer acquisition in 2014 as Pacer's work, pile-driving and foundation, was substantially completed before our acquisition. While we have reflected the full amount of our proportional share of this project's losses, we are pursuing several alternatives for potential recovery. As this project doesn't relate to any current MasTec operations, we are excluding it from our adjusted results. Last week, during the third quarter we recorded a loss of approximately $12 million related to a settlement reached during a court-mandated mediation regarding a previously-disclosed 2013 project billing dispute. While we will receive a substantial settlement payment from the project owner in our fourth quarter, the final settlement was less than we had anticipated and we reflected this during our third quarter. We are bound by nondisclosure provisions in the settlement so we are limited in what we can say about this matter. I will say that closing this matter, given a significant cash settlement to be received in our fourth quarter, coupled with potential expense and distraction of further-prolonged litigation is prudent, in our judgment. The impact of these charges reduced our third quarter 2015 GAAP fully diluted earnings per share by approximately $0.14. Here are some takeaways for the quarter. Third quarter 2015 revenue was $1.1 billion, a 16% decrease when compared to $1.3 billion for the same period last year and less than our initial expectation of $1.1 billion to $1.2 billion. Third quarter 2015 continuing operations adjusted EBITDA was $91 million as compared to $138 million for the same period last year and our initial expectation of $100 million to $108 million. On a rate basis, continuing operations adjusted EBITDA was 8.2% of revenue compared to 10.5% for the same period and our initial expectation of 9% to 9.1%. Excluding the impact of third quarter Electrical Transmission segment adjusted results, continuing operations adjusted EBITDA for all other segments was approximately $103 million, or 9.9% of revenue for the 2015 third quarter. Third quarter 2015 continuing operations adjusted diluted earnings were $0.26 per share compared to $0.60 per share last year and our initial expectation of $0.31 to $0.37 per share. Cash flow from operations during the quarter was approximately $99 million and on a year-to-date basis we have generated cash flow from operations of approximately $261 million, compared to $81 million last year, an increase of $180 million, and this despite reduced 2015 earnings performance. The third quarter earnings shortfall versus our initial expectation was driven by lower revenues and margin pressure. Lower revenues versus expectation were primarily related to a delayed large project start-up in our Oil and Gas segment and while this project has started in the fourth quarter, our current fiscal 2015 guidance assumes a greater portion of this project, including amounts previously expected in the fourth quarter, will now slip into 2016. Despite the lower levels of third quarter revenue, Oil and Gas segment continuing operations adjusted EBITDA margins were strong at 12.5% of revenue. During the third quarter we experienced margin pressure, primarily in the Electrical Transmission and Communications segments. In electrical transmission we experienced a combination of lower-than-expected revenue levels, which impacted overhead utilization, project inefficiencies, including project close-outs, as well as higher-than-anticipated legal costs in connection with the project dispute. While third quarter earnings performance was challenging, we are pleased with the Electrical Transmission segment's backlog growth during the quarter, which grew $77 million sequentially, representing a 41% backlog growth for this segment. We are in the midst of a very active bidding environment in this market in which we feel we are very well positioned. While the Electrical Transmissions segment continued to experience continuing operations adjusted EBITDA losses during the third quarter and has year-to-date adjusted EBITDA losses of approximately $35 million, we currently anticipate that this segment's profit performance will turn the corner and improve during the fourth quarter, with fourth quarter adjusted EBITDA having at a slight loss approaching a breakeven level. This is due to sequentially-improved revenue levels, the non-recurrence of selected project closeout inefficiencies and significantly-reduced levels of legal costs, which on a year-to-date basis, have been a significant drain on this segment, exceeding $7 million and approaching 3% of revenues. In Communications, while we recorded third quarter adjusted EBITDA margins of approximately 10% we continued to experience weakness in wireless project activity with organic revenue declining over 35% when compared to last year. This has caused EBITDA margin pressure, especially as we look to maintain the appropriate infrastructure to support the expected rebound in levels of wireless project activity from multiple carriers in 2016. And lastly, to a smaller extent, we experienced margin pressure during the third quarter in our Power Generation segment which recorded $3.8 million in final project losses in completion of a previously-disclosed troubled Canadian wind farm project. Reported 2015 third quarter EBITDA margin for the Power Generation segment was 4.2% of revenue, and absent the impact of this final project loss, 2015 third quarter reported EBITDA margin would have been closer to our second quarter rate at approximately 7.5% of revenue. While the third quarter was a difficult one in terms of current profit performance it should be noted that we made significant strides in terms of backlog growth with backlog growing approximately $500 million, or 12%, to a record level of approximately $4.6 billion, and this growth occurred across multiple segments including Oil and Gas, Electrical Transmission and Communications. As indicated in yesterday's release we expect continued backlog growth as we close out 2015, which puts us in a strong position to improve financial performance as we enter 2016. In summary, while the third quarter and 2015 year as a whole have been challenging across a number of fronts, the significant expansion of backlog during the quarter to record levels and the continued expectation of significant backlog growth during the fourth quarter are strong signals of a much-improved outlook for 2016. Now, I will discuss a summary of our top 10 largest customers for the third quarter of 2015 as a percentage of revenue. AT&T revenue derived from wireless, wireline and install-to-home security services was approximately 17%; and DirecTV was approximately 14%. And on a combined basis, these four separate services totaled 31%. Momentum Midstream was 9%. Energy Transfer Company was 7%. MidAmerican Energy and Duke Energy were each at 3%, and CNRL, Algonquin Energy, Plains All American Pipeline and Elite Inc. were each at 2% of revenues. In addition, a customer who has requested that we not disclose its identity, was also 2% of revenues as our tenth largest customer during the third quarter. Individual construction projects comprised 56% of our third quarter revenue, with master service agreements comprising 44%, and this mix is generally in line with historical trends. At quarter end our 18-month backlog from continuing operations was approximately $4.6 billion compared to approximately $4.1 billion as of the second quarter of 2015, a sequential increase of approximately 12%. Backlog growth was led by the Oil and Gas segment, which grew 32%, reflecting the addition of two large Texas pipeline projects taking gas to the Mexican border. As indicated in yesterday's release, we have over $1.5 billion in Oil and Gas awards in the process of being signed and expect this will be added to our backlog during the fourth quarter with a majority of this work scheduled to be performed in 2016. We also experienced significant backlog growth in the Electrical Transmission segment, which grew approximately $77 million, or 41% during the quarter. We are pleased to see this growth as a sign of a return of the normal course marketing and operation efforts for this group after the disrupted events experienced earlier this year. And lastly, it's noteworthy that we also experienced a sizeable increase of almost $190 million in Communications segment backlog during the quarter. Regarding other areas of the income statement below the EBITDA line, third quarter 2015 depreciation and amortization expense was in line with our expectation at 3.8% of revenue compared to 3.2% last year, and interest expense during the third quarter of 2015 was $12 million compared to $12.6 million last year. Our third quarter 2015 GAAP effective income tax rate was slightly over 45% and for the year-to-date 2015 period our GAAP provision for income taxes was $3.3 million on GAAP pre-tax earnings of less than $1 million. As a reminder, our 2015 GAAP provision for income taxes includes approximately $2.6 million of a non-recurring provision recorded during the second quarter to reflect the revaluation impact of a tax rate change in Alberta, Canada on existing deferred tax liabilities. This, coupled with the impact of permanent differences in relation to lower levels of GAAP income, will lead to an effective 2015 GAAP tax rate that may exceed 75% and is misleading for purposes of calculating 2015 adjusted earnings results. Accordingly our 2015 adjusted results and guidance reflect a 45% adjusted tax rate which is calculated excluding the impact of the non-recurring Alberta tax law provision and utilizing adjusted earnings. Based on the expected non-recurrence of onetime tax law changes and the expected convergence of GAAP and adjusted earnings results in 2016, we anticipate that both our GAAP and adjusted income tax rates for 2016 will be in the low 40% range. Now let me talk about our cash flow, liquidity and capital structure. As we have previously noted, our long-term capital structure is solid with low rates and no near-term maturities and we have an excellent bank group. I would like to thank our bank group for their support during a trying 2015 period. As we previously announced, during the quarter we amended our senior revolving credit facility to provide us additional flexibility with only a modest fee and no change in interest rate terms. I think it bears repeating that we generated $261 million in cash flow from operations for the nine months ended September 2016 compared to $81 million for the same period last year, a $180 million increase despite reduced earnings performance. As we have indicated for quite some time now, we expect 2015 to be a record year in terms of cash flow from operations. Our third quarter 2015 accounts receivable days sales outstanding, or DSOs, were 75 days compared to 86 days as of the end of our second quarter 2015, which is an 11-day decrease, and 88 days for the 2014 third quarter, which is a 13-day decrease. This improvement is driven by the combination of improved collection performance across all major segments and segment mix due to reduced levels of Oil and Gas and Electrical Transmission segment revenues. As we look forward, consistent with our prior statements we believe that our DSO levels will typically range somewhere in the mid-80s. Regarding our spending on capital equipment, third quarter 2015 cash CapEx, net of disposals, was approximately $17 million. Year-to-date we have incurred $61 million of cash CapEx, net of disposals, and added $26 million in capital leases for a total CapEx spend, net of disposals, of $87 million. We currently estimate that we will spend approximately $75 million in cash CapEx in 2015, net of disposals, with an additional $25 million to $35 million in finance CapEx for a total CapEx spend, net of disposals, of $100 million to $110 million. Liquidity at September 30, calculated as cash plus availability on our senior revolving credit facility, was $485 million. Our overall net debt level as of September 30 was approximately $1.2 billion. As always, we evaluate our capital structure to ensure we have ample liquidity and allow us the financial flexibility to pursue attractive growth opportunities. As we look forward into 2016, we expect our leverage ratios to significantly improve when compared to 2015 yearend levels due to expected increased levels of operating profit. Moving on to our 2015 full-year guidance, we are now projecting annual revenue of approximately $4.1 billion to $4.15 billion with continuing operations adjusted EBITDA of approximately $295 million to $305 million and continuing operations adjusted diluted earnings per share of $0.53 to $0.60. This translates to fourth quarter revenue guidance of approximately $900 million, just slightly less than $1 billion, with continuing operations adjusted EBITDA margin in the range of 7.7% to 8.2% percent of revenue. Our current guidance assumes lower levels of fourth quarter revenue production on a large Oil and Gas project currently in process due to a delayed start date. We currently expect that while fourth quarter Oil and Gas revenues will decrease sequentially from third quarter levels in the mid 20% range, which will negatively impact fourth quarter overhead utilization and EBITDA margins. Given our expectations for significant increases in 2016 Oil and Gas project activity, we are obviously not impacting overhead levels for expected short-term fluctuations in revenue. Our estimate of share count for diluted earnings per share is about 81 million for the full year and 80.5 million for the fourth quarter. In summary, while we have had a challenging year with both internal and external headwinds, we are excited about the prospects in 2016 and beyond, and look forward to capitalizing on the numerous growth opportunities in the markets we serve. And that concludes my remarks. And now I'll turn the call back to the operator. Operator?
Operator: Thank you. And we'll go first to Matt Duncan with Stephens.
Matt Duncan - Stephens, Inc.: Hey. Good morning, guys.
José Ramón Mas - President, Chief Executive Officer & Director: Good morning, Matt.
Matt Duncan - Stephens, Inc.: José, I want to start by talking about the Oil and Gas segment where it looks like you're still seeing very good prospects. I think last quarter it was $1 billion, $1.0 billion, expected in bookings by year end. Now it's $1.5 billion. Can you maybe give us a little color on what you're adding to the backlog there?
José Ramón Mas - President, Chief Executive Officer & Director: It's more projects. Today the – and I think we're really trying to send the message across, right? The industry's doing great; the oil and gas market per se has tons of opportunities available to it, a lot of them for 2016 but quite frankly there's a lot of conversations right now about 2017 projects, even into 2018. As far as we can see out for the next three to five years it looks like it's going to be an unbelievable run. And quite frankly, the amount of business that's out there available for 2016 is extremely high and we're getting our share of it.
Matt Duncan - Stephens, Inc.: Okay. Understood. And then the second question from me just in the communications business, AT&T I believe on their call talked about being ready for the one-truck role in some markets in November. I'm just curious if that's on par with the expectation that you guys had. And then remind us what your expectation is of how your relationship with them is going to work on DirecTV installs going forward. My recollection is as long as it's just DirecTV that's still going to be MasTec. But just if you could provide some clarity there that'd be great.
José Ramón Mas - President, Chief Executive Officer & Director: Look, so far we're really excited with the new integration, the new team. It's obviously a new company, although a lot of the same things are in place and business as usual continues. We're excited about what our business looks like for 2016 with them. We've obviously had an enormous amount of dialog. We're very encouraged by it. We think we've got a lot of opportunities and a lot of ways in which we could ultimately potentially grow our business. But right now we do expect them to do some single-truck roles. It will affect us in some markets; it won't affect us in others. But quite frankly, they're doing a really good job. Obviously you've got a much bigger customer base as you throw in the U-verse video customers. We're seeing the benefit of that and it's really not impacting our business to a great nature in either direction right now, which is good.
Matt Duncan - Stephens, Inc.: Okay. Thanks. I'll hop back in queue.
José Ramón Mas - President, Chief Executive Officer & Director: Thank you.
Operator: And we'll go next to Andy Wittmann with Robert W. Baird.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Hi. Thanks. I guess for George, the Walterdale Bridge project that you mentioned in your comments, 65% complete and I guess they're – given the weather that one's going to stop for the winter. What's the expected cash drag, do you think, to get that one completed? Or is there still cash that you might have to pay to finish up that project?
George L. Pita - Chief Financial Officer & Executive Vice President: We – at this point we think we've incorporated all the losses that have – that we expect from the project. Obviously it's 65% complete. From a cash perspective I don't think it's going to be a major drain for us going forward. I mean our – really it's a recognition of the losses which we've been doing on a proportional basis. As I mentioned in my remarks, there's also a number of things we're evaluating to pursue some recovery with that, but that's not yet been fully developed, so we haven't reflected that. So it should not be a significant cash issue for us going forward.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Okay. Great. And then just other items here. It looked like in the quarter you elected to sell some receivables. I was kind of curious as to the impetus for that. It was about $29 million. Can you just give us some color on why and is this something we should expect more of or less of in the future?
George L. Pita - Chief Financial Officer & Executive Vice President: Nothing – it's nothing new. It's something we've been doing since the fourth quarter of last year. It's just a program that we've gone through where we have a – it reduces our cycle time on receivables and actually comes in a little bit cheaper rate. So it's not a new effect for the quarter. That's not a driver of the DSO reduction for the quarter; it's something we've been doing since last year.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Okay. And then just in terms of the use – the cash flow. You mentioned that as you move into 2016 the leverage levels will be coming down mostly through EBITDA growth, but do you expect to be paying down debt as well as part of that with the cash that you generate over the next couple of quarters? Or what should we think about in terms of the cash usage?
George L. Pita - Chief Financial Officer & Executive Vice President: I mean, we will – certainly we expect to significantly delever given what's been what we consider an abnormally low level of profit performance in 2015 and given the significant strength of the prospects that we have for 2016. So that – from a deleveraging standpoint, that'll be a significant event. We will generate a significant amount of cash flow with that. There will be some working capital usage. Obviously, if we grow to the levels in 2016 that we're expecting to grow, we will use some working capital, so that will eat up some of the cash flow that we generate, but we still would expect to additionally delever – again, absent other usage of capital, right, if we determine there's some other investment that we would make, it would change that. But absent that, we would expect to delever going forward as well as reduce our leverage levels.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Thank you.
José Ramón Mas - President, Chief Executive Officer & Director: And just to add to George's answer, the receivable program is actually a customer-driven program. So it's something that a particular customer did to help all contractors relative to the cycle time.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Okay. Thanks.
Operator: Next will be Tahira Afzal with KeyBanc Capital Markets.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Hi, folks. Quite a long year, huh?
José Ramón Mas - President, Chief Executive Officer & Director: Yes, it has been. Morning, Tahira.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Morning. I guess, you know, José, you've clearly built a broad-based backlog in all three segments. What we hear from AT&T should point to really a lot of the spending troughing of one of your core clients going forward. So really, I guess the questions I have are mostly on the execution side. We know on the electric transmission side, some of your peers have been talking about exceptional amounts of competitive pressure. How do we get comfortable around what you've been booking over the last quarter in terms of pricing and risk, let's say maybe versus even a couple of years ago.
José Ramón Mas - President, Chief Executive Officer & Director: So I'm going to break it out in the different segments because I actually think it's a great question and we really tried to spend a lot of time today talking about margins despite significant revenue decline. So if you – and I'm going to start with – I'm going to leave Transmission to the end. But if we look at our Communications business, and I really can't say it enough, right, we've really struggled in our Wireless business this year. The struggles have primarily been related to revenues and our customers' CapEx. I think we've ad nauseam talked about those issues over the last few quarters as it related to some of our bigger customers but we're very confident that we're going to see a very strong rebound to revenues as it relates to Wireless. We think we're going to get back to a more normalized level. It's actually a very large component of our Communications segment. The fact, in our opinion, that we've been able to slightly increase margins in our Communications business despite the revenue issues that we had – have there I think bode extremely well to the future, because as you think about us increasing our revenues and getting back to normalized states and everything that that implies relative to margins, we think that's a fabulous story that we've proven over time, we've proven our ability to manage margins in good times in that business and I think this year, unlike 2014, we've proved that we can manage margins during a more difficult period with declining revenues. We didn't do that well in 2014. We think we've done it extremely well in 2015. So we kind of put that one aside. And Oil and Gas, again, 12.5% margins in the quarter. We knew it was going to be a rougher year relative to revenue because we knew a lot of the projects were going to get pushed out into 2016. I think when we look at not only what we've booked but what we've got coming we're extremely excited about the business. We think we're going to reach record revenues in 2016. When you look at – if we take one quarter – for example, if we take the third quarter of 2014, that business did $550 million in revenue at 13.2% margins. We're nowhere near that today, but if you look at what we're expecting for next year we actually expect to do even better than that from a revenue perspective on a ongoing basis. If we can execute to previous levels and get close to those margins it's obviously a huge differentiator from where we are today. Those are two big drivers in MasTec, and not just for 2016 but as we look beyond 2016, 2017, into 2018. And then finally you have Transmission, right? This is an area where if you go back to 2011 we're very proud of the accomplishments that we had from 2011 to 2014. The business grew. We performed at good margins, we never blew margins out of the water but we were in high growth mode. Very challenging year this year, not all external, we've had a lot of internal issues that we've had to deal with. Obviously been impacted by some of the external issues that some of our peers are also facing this year. Look, we expect the business – we're not going to see huge revenue growth in that business next year. We're going to manage growth, we're going to manage the expectations as it comes to revenue. We're going to manage our costs as hard as we can. We're not even looking to get to historical levels, we just need to get to profitable levels. I think the work that we've picked up and the work that we expect to pick up, I think we're bidding them at adequate margins. Is there pressure in the business today? Absolutely. I know there's a lot of talk about that. At the end of the day we've got to prove it out. We've got to execute. Again, I think we've done that in that business for a long period of time, except obviously 2015. So at the end of the day we need to show it, we need to prove it, but we actually feel really good about it.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay, José. And then George, how should we think about free cash flow for next year? A lot of your businesses are going to start ramping up again. How does that influence working capital next year?
George L. Pita - Chief Financial Officer & Executive Vice President: Well, I think working capital, if you do the calculation, there should be some usage of working capital next year, depending on the level of growth. I think we said that DSOs would be in the 80s kind of number, in the mid 80s, so there will be some usage of that next year, but we will still generate significant free cash flow, again, depending on how you model out the expansion that we have coming into 2016. I think we'll – given all that, absent additional investment, M&A or other items, we would expect to delever in 2016.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Thank you very much, folks.
José Ramón Mas - President, Chief Executive Officer & Director: Thank you, Tahira.
Operator: The next question is from Jason Wangler with Wunderlich.
Jason A. Wangler - Wunderlich Securities, Inc.: Hey. Good morning, guys. And George, maybe if I could just add to that question, as you look at 2016 you've got the covenant on the debt facility taken care of. Is there a time when you look to – back to the share buyback program and getting something authorized? Or is it simply right now paying some of that debt back before you start to look on that side?
George L. Pita - Chief Financial Officer & Executive Vice President: Well, look we always...
José Ramón Mas - President, Chief Executive Officer & Director: I'm going to answer the question. I think it's all opportunistic, so it really depends on where we're at. Obviously we think our share is extremely undervalued. We're obviously trying to be prudent around that where we stand from our capital structure, but I think it's highly dependent on where we're at at any given point in time.
Jason A. Wangler - Wunderlich Securities, Inc.: Okay. And as far as the $1.5 billion you mentioned to be added to backlog here in the next couple of months, is – try not to be too specific because – hopefully getting an answer out of it, but is there anything in Mexico that's included in that? Or is that all simply U.S.-based stuff making anything coming out of Mexico incremental?
José Ramón Mas - President, Chief Executive Officer & Director: What we've talked about today is all U.S., making anything in Mexico incremental.
Jason A. Wangler - Wunderlich Securities, Inc.: Okay. Just wanted to clarify. Thank you.
Operator: The next question is from Alex Rygiel with FBR.
Alex J. Rygiel - FBR Capital Markets & Co.: Good morning, José.
José Ramón Mas - President, Chief Executive Officer & Director: Good morning, Alex. How are you?
Alex J. Rygiel - FBR Capital Markets & Co.: Pretty good. Clearly it sounds like oil and gas opportunities are going to ramp pretty quickly in 2016 and wireless is going to rebound. Can you help us to sort of understand do we start to see that ramp in the first quarter or are we waiting for the summertime and the second half of the year to really see that coming through your P&L?
José Ramón Mas - President, Chief Executive Officer & Director: I think it obviously increases in the second quarter, especially as a lot of the weather-related areas become fully workable, but I do think you'll see impact in Q1 as well.
Alex J. Rygiel - FBR Capital Markets & Co.: And then as it relates to some of the underperforming projects that you've experienced in the last couple of quarters, obviously the issues with the bridge will likely continue but how many other projects are yet to be completed that have underperformed? And of those, if there are any, when would you expect them to be completed?
José Ramón Mas - President, Chief Executive Officer & Director: It's a good question. Right, so we've got the bridge in Canada. Acciona is the lead in that project so we really don't have much day-to-day involvement whatsoever other than we originally did on that project a long time ago. We had the Bow Lake Wind Project in Canada which was a problem earlier this year, which was a slight problem in the quarter as well, which I think has depressed power gen margins. That project's done, right, so I think ex that, that business is doing really well. We don't really have any other projects where we've had difficulties in that market. And even as you look at our Transmission business, right, I think it's really interesting and important to note we don't have projects in huge loss positions. We've got a lot of projects that in closeouts faded, so they went from a higher profit margin to a lower profit margin, which obviously impacted the year results. But I think overall some of those projects are actually still in good standing. We've had a couple of we've struggled with. Most of that has been cleaned out. So I think as we look going into the fourth quarter we're pretty clean on projects, right? We don't have a lot of troubled projects. Whatever we have left we expect to complete by yearend. So I think we're going into 2016 with a lot more of a clean slate.
Alex J. Rygiel - FBR Capital Markets & Co.: Thank you. I'll get back in queue.
José Ramón Mas - President, Chief Executive Officer & Director: Thank you, Alex.
Operator: The next question is from John Rogers with D.A. Davidson.
John Bergstrom Rogers - D.A. Davidson & Co.: A couple of things relative to backlog. José, specifically on the Communications backlog, a lot of that work is MSAs and I believe the estimates of what you expect to be done and I was just wondering especially with the Wireline business, how much assurance do you have that this work will actually get executed into 2016? And has it changed at all, especially with the AT&T DirecTV merger?
José Ramón Mas - President, Chief Executive Officer & Director: So we've actually, as it relates to a lot of our Communications business, it's been a lot more project-driven as we've looked at backlog related to, for example, on the Wireline side as you mentioned, it's very project-specific driven, so it's not so much of the MSA-type calculation. So I think it's a much more solid calculation.
John Bergstrom Rogers - D.A. Davidson & Co.: Okay. Good. And then can – and in terms of your confidence relative to the Wireline business, the – I mean do you actually have orders in hand for that? Or it's just customer conversations? I mean, I'm sorry, the Wireless business?
José Ramón Mas - President, Chief Executive Officer & Director: The Wireless business.
John Bergstrom Rogers - D.A. Davidson & Co.: Yeah. Yeah.
José Ramón Mas - President, Chief Executive Officer & Director: So look, the Wireless business is changing. I think there is great opportunities. I think our customer base today is more broad-based than it's historically been. Obviously AT&T is our largest customer and will continue to be. We're bullish about their sentiments going into 2016 with what we know. But we're also growing with other customers. We're growing with some of the tower operators that are actually doing a lot more work related to their towers. The Wireless business at the end of the day is all going to be about what happens in the industry. In 2004 data grew at 1.6-fold what it was in 2013. Projections are that it's going to grow 6-fold in the next five years. So data demand is driving the industry. Capacity is driving what's happening in the wireless industry today. It's affecting all of the carriers. All of the carriers are dealing with it a little bit differently. I think we've got solid opportunities with all of them and as we've built our backlog it's very specific to customers. It's very specific to projects and their build plans for 2016.
John Bergstrom Rogers - D.A. Davidson & Co.: Okay. And then on the pipeline backlog, I mean these are – it sounds like multiple large projects that you're pulling into backlog. And just following up on a little bit earlier questions, how much risk do we have just in terms of timing, weather, those sorts of events? And how much volatility are you expecting in 2016 especially quarter to quarter?
José Ramón Mas - President, Chief Executive Officer & Director: Look, it's a good question. We don't have it fully answered yet. We've got schedules on all the projects where we expect to start, when we expect to end. I think the end dates are obviously as important, are probably more important to the customers than the start dates. Both dates are very important to us. Look we've got all our models built. We've got what we think is sufficient cushion in the projects to be able to move, whether things get delayed a month or six weeks, to be able to meet the schedules that we need to meet. Beyond that, obviously, we need to re-discuss with our customers. It's a business that's going to be somewhat volatile so – and it's going to be a business that's big. So if you miss by a month it's going to be significant numbers. I think as we think about 2016 and especially as we think about giving public guidance, we're going to take that into consideration and really build some of those factors in so that we're not in the position that we've been in in 2015 over and over again.
John Bergstrom Rogers - D.A. Davidson & Co.: Okay. Thanks a lot.
José Ramón Mas - President, Chief Executive Officer & Director: Thanks, John.
Operator: The next question is from Dan Mannes with Avondale Partners.
Daniel Mannes - Avondale Partners LLC: Thanks. Good morning, everyone.
José Ramón Mas - President, Chief Executive Officer & Director: Morning, Dan.
Daniel Mannes - Avondale Partners LLC: So first a follow-up on electric. When you look at the third quarter results, could you maybe discuss how much variance was there in the third quarter versus your previous expectations and where that stemmed from, i.e. under-utilization or fade? And then contrast that with your confidence in a recovery to closer to breakeven in the fourth quarter.
George L. Pita - Chief Financial Officer & Executive Vice President: Dan, sure. This is George. Yeah, during the third quarter, as I mentioned, we really – that the revenue levels for the transmission business were less than we expected. That impacted us from a direct margin perspective as well as utilization of our overhead. So that was definitely a factor in the under-performance during the third quarter. We also had a handful of project close-outs and project inefficiencies that hit us during the quarter. And that impacted our expectation during the quarter. So as I mentioned earlier, a lot of that we think is behind us at this point. And not necessarily they were all lost projects, but they were just reductions of margins and finalization of some projects. And then we also indicated we had some pretty significant legal costs incurred during the quarter in connection with some of these, the resolution of some items. As we look forward into the fourth quarter, we believe that we're going to improve results from the third quarter because of a combination of a little bit of a sequential increase in revenue. We think the revenue levels will grow in the fourth quarter given some of the projects that we've got awarded and in process, coupled with, again, the non-recurrence of some of those project issues and then a much lower level of legal costs. And the combination of those three will give us confidence in that we think we'll see improved results on the transmission business in the fourth quarter.
Daniel Mannes - Avondale Partners LLC: Sure. And then a couple questions on the Oil and Gas business. And I don't mean to pile on here about delays, but can you talk a little bit more about maybe the issues surrounding the project that slipped a little bit from Q3 and Q4? Was that regulatory? Was it economic? Was it weather? And then a little bit on the projects that are not in backlog but that you've been awarded. Where are they, particularly on the regulatory side, and how close are they to actually getting the key regulatory approvals, because that seems to be probably one of the key gating factors to you guys moving ahead?
José Ramón Mas - President, Chief Executive Officer & Director: Yes. So specifically on the project mentioned in the fourth quarter, it's a project where as a company we have multiple segments and legs. Some of them actually did perform in Q3 completely as expected. Some of them were slightly delayed, and a lot of that had to do with permitting issues. The projects weren't slated to start concurrently. So there was a slight delay in one of those projects which is I think the prepared remarks what we talked about. When we think of the other projects, look, every one of these projects are large, they're complex. What we can say about most of these projects is materials have been ordered, and in many cases, all of the materials are already on the ground. A number of permits – a lot of these projects start without full permitting or full right of way actually completed. And they continue those aspects of the project even as you begin construction. So I'd say all of the projects are in some way in those ranges. I think there's work ready to be done on basically all of them at this point, but you wait until a certain point until you actually start. We feel good about the schedules that are in place. We've been active on these projects and talking about these projects for a long period of time. These awards have – they drag out a little bit. We've felt confident about winning this work for a long time. We've got it. We understand what's required of us and we feel good. I mean, could there be a month or two delays on projects? Sure. And I think we're going to build that into what we say. I don't think it will have a significant impact on the full year as we look at 2016 either way.
Daniel Mannes - Avondale Partners LLC: Got it. Thanks.
Operator: The next question is from William Bremer with Maxim Group.
William Bremer - Maxim Group LLC: Good morning, gentlemen.
José Ramón Mas - President, Chief Executive Officer & Director: Morning, Bill.
William Bremer - Maxim Group LLC: First, George, congrats on the DSO improvement. Very nicely done. We've been waiting for that for quite some time. José, I want to go right to Mexico since many of my colleagues have taken all my questions. Can you give us an idea of the size, the scope you're seeing down there? Is there a need to possibly build a greenfield operation down there? Or just give us a sense of how you expect to execute these, and I guess more importantly to guys like us, are the margins comparable or even better?
José Ramón Mas - President, Chief Executive Officer & Director: So a couple things, right. We're now, I think, operating in Mexico in multiple businesses. So we've been in Mexico for a while now on our Wireless side. It's obviously been a small operation. I think the opportunities there drastically changed when our largest customer entered the market. We have a physical presence there. We have people. We have bodies. We have offices that have been supporting that industry. So I think that's really just taking advantage of the opportunities that present themselves over the future. I think as you read about what some of the – what our primary customer there is doing and their plans for the future, it's pretty exciting and we hope to play in role in that, and over time, grow that. As it relates to the bigger opportunities that we have in country, they're really more around what we've been focused on is Oil and Gas. Although quite frankly, I think in the near term transmission will also be an opportunity down there. As it relates to Oil and Gas, we've been in country now for well over a year. We've got personnel. We continue to build our team. We're in a position where we're ready to go to work. We don't have – I think we've got a lot of different methods in which we could ultimately do the construction and I think it's going to depend on overall workload and what we win. But again, like everything else, a lot of these contracts have long cycles to them. Each contract is different and they kind of take a life of their own. As we've seen in the U.S., a lot of these projects, we've been talking about them from quarters and I think we're finally going to see a lot of those come to fruition in the fourth quarter. I think we're in a similar boat in Mexico where we've got some good opportunities we've been working on. And we're hoping that sooner rather than later we're in a position to execute some of those.
William Bremer - Maxim Group LLC: Okay, gentlemen. Thank you.
José Ramón Mas - President, Chief Executive Officer & Director: Thanks.
Operator: The next question is from Vishal Shah with Deutsche Bank.
Vishal B. Shah - Deutsche Bank Securities, Inc.: Hi. Thanks for taking my question. José, you talked about improving profitability in the Transmission segment. Can you maybe talk about the timing as to when we can expect some of that, some of the actions you're taking to show in terms of profitability – breakeven in that segment? And also as you look at the Wireless Communications business, what kind of margins should we be modeling in the long run for that segment now given the new levels of CapEx? Thank you.
José Ramón Mas - President, Chief Executive Officer & Director: Well, I think George discussed the – how we're feeling about the fourth quarter as it relates to Transmission and how we think we can get much closer to our breakeven there in a very short period of time. And so I would reiterate George's comments. I think we've got a lot of things working in that business. We expect some revenue increase, but more importantly, we expect a project mix in the type of projects and some of the projects that we've changed estimates to complete on, I think a lot of that is behind us. And I think you'll see that flow through in the fourth quarter. As it relates to our Wireless business, look, I'd say the same thing, we're not in a position today to give guidance, obviously, for 2016. But I'd say the same directional commentary, right? When you look at our historical margins and what we were able to achieve in periods where we had solid revenue, we did much better. So in 2013, our Communications margins exceeded 12.5 points, which is obviously significantly more than they are today. Our Oil and Gas margins for the year were at 13 points, which obviously is a lot more than we are today. That was a couple years ago when we were growing and revenues were strong. We've obviously had issues over the last 18 months. And with the amount of work that we expect, quite frankly, we're hoping that over time we can beat what we historically did. We're far away from that. We're at a different place today. We need to start executing; we need to start having small wins, and we get that. So as we come out with 2016, we'll obviously be prudent around our public projections. And even internally, what we're thinking and how we're managing that. So I think those are some of the things to think about as you think about our business longer term.
Vishal B. Shah - Deutsche Bank Securities, Inc.: Thank you.
José Ramón Mas - President, Chief Executive Officer & Director: Thanks, Vishal.
Operator: The next question is from Adam Thalhimer with BB&T Capital Markets.
Adam Robert Thalhimer - BB&T Capital Markets: Hi. Good morning, guys.
José Ramón Mas - President, Chief Executive Officer & Director: Good morning, Adam.
Adam Robert Thalhimer - BB&T Capital Markets: José, did I hear you right that communications revenue, you said up 10% next year? And what's the biggest driver there?
José Ramón Mas - President, Chief Executive Officer & Director: No. I said that about power generation revenues.
Adam Robert Thalhimer - BB&T Capital Markets: Okay. And then can you help us with the Transmission, just the bidding environment, the pricing environment, what you're seeing in the Transmission market in the U.S.?
José Ramón Mas - President, Chief Executive Officer & Director: Yeah. It's a very competitive landscape. I think historically there's been two types of projects, there's been smaller projects and then there's been larger projects that I think is really where we built a lot of our growth and where we built a lot of the foundation of what we built in Transmission was around larger projects. There's no question that there have been less larger project awards this year. I think there is an enormous amounts of projects that will be awarded and there's an enormous amount of backlog of projects that are in queue and I think we're going to see that shortly and a bunch of those are going to pop out which I think is going to help the entire industry in a pretty sizeable fashion. In the meantime the work that's been out there is smaller in nature. It's quite frankly not a place where we've historically done well. And it's really not a place where we're super focused either. We've got some business around that but we're planning to continue to build our business more so towards the larger projects and I think that's part of the issues that we're having in 2015 as some of those – some of that work wasn't there.
Adam Robert Thalhimer - BB&T Capital Markets: Okay. Thank you.
José Ramón Mas - President, Chief Executive Officer & Director: Thanks.
Operator: Next will be Alex Rygiel with FBR.
Alex J. Rygiel - FBR Capital Markets & Co.: José, a quick follow-up. In the past you've quantified how much 1-gigabit fiber you have in backlog. Could you do that again for us today? And then can you also bracket the number of customers you have that you're doing 1 gigabit for, and maybe the number of markets that you're doing 1 gigabit for?
José Ramón Mas - President, Chief Executive Officer & Director: Yeah, Alex, I don't have that. I know that at one point we talked about specific gigabit awards and the total amount of those specific awards, may not all of the gigabit but specific gigabit awards. Look, today there's no question we're enhancing our capabilities there and we're working for more customers than we have in previous quarters. So I'd say we're working for a handful of customers today doing gigabit expansion. There's an enormous of opportunity. The bidding around gigabit opportunities is actually increasing. It's going to be a very active next couple of months and again we feel good about our prospects of getting some of that and continuing to build on backlog and our growth opportunities there from a revenue perspective.
Alex J. Rygiel - FBR Capital Markets & Co.: And I suspect that your bidding opportunities for CAF-related programs is also picking up. Has any of that been awarded yet or have you won any CAF programs? And how should we think about the timing of those awards? Are they going to all play out in the fourth quarter or should it play out over the next 6 to 12 months?
José Ramón Mas - President, Chief Executive Officer & Director: So you know it's interesting that you asked that, Alex. We're actually seeing two very distinct opportunities related to CAF. One is on the Wireline side as those companies are deploying gigabit services and we are participating there and we're excited about those opportunities and we do expect some of that to play out over at least the next two quarters. But for us almost more impactful is what it's doing to the Wireless business because there's a lot of carriers that have a Wireless bent toward what they're doing with CAF funds, so they're actually trying to provide Internet services to rural areas via wireless product and not wireline product, and that's a strategy that multiple carriers are enacting on. That's adding a whole different opportunity set base for our Wireless business that we're pretty excited about, both for 2016 and into the future.
Alex J. Rygiel - FBR Capital Markets & Co.: Good luck. Thank you.
José Ramón Mas - President, Chief Executive Officer & Director: Thanks.
Operator: The next question is from Tahira Afzal with KeyBanc Capital Markets.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Hey. José, a quick follow-up. As I've gone across the goals for different utilities there seems to be sort of a new emphasis on maybe doing more wind, et cetera – more renewables but specifically wind, I've heard it on several calls. Would love to get your thoughts around that as you head into next year?
José Ramón Mas - President, Chief Executive Officer & Director: Well, I think our commentary around it was very positive, right. We're having with – if you back out our Canadian project, we're actually having an excellent year in that business, both from a revenue perspective and more importantly a margin perspective. We also said in today's prepared commentary that we think that that business could grow upwards of 10% next year, and the reason we're saying that is because we're seeing the amount of activity related to that. So you are right, I mean the amount of activity that we're seeing today we probably haven't seen since 2012, which was a huge year for us in that business. And we're excited about that. We've obviously got a lot of work to do there, but opportunity set there is – looks a lot more like 2012 than it does any other year we've had recently.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Right. And José, if I add up everything that you just said on a segment-by-segment basis, I mean are your revenues for next year – and I know you don't want to give guidance – but you kind of have on the revenue side. It seems like revenues of $5 billion, assuming all these trends stay intact, possible?
José Ramón Mas - President, Chief Executive Officer & Director: We expect to have a really good year in 2016. I think we've been saying that for a couple quarters. I know we haven't been helping ourselves in 2015, which your first comment of the day, it's been a long year. It has been a long year. We're looking forward to getting it behind us because we're pretty excited about our future.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Thanks, José.
José Ramón Mas - President, Chief Executive Officer & Director: Thank you.
Operator: This concludes today's question-and-answer session. Mr. Mas, at this time I will turn the conference back to you for any additional or closing remarks.
José Ramón Mas - President, Chief Executive Officer & Director: Okay. I'd like to thank everybody for participating today. We recognize it's been a tough year. Again, we're looking forward to getting it behind us, updating you on our next call as we actually enter into 2016. So thank you for your continued interest.
Operator: This concludes today's call. Thank you for your participation.